Operator: Good afternoon, ladies and gentlemen, welcome to Tucows Inc. second quarter fiscal 2010 conference call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the second quarter of fiscal 2010. The news release and financial statements are available on the company’s website at tucowsinc.com under the Investors heading. Please note that today’s call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today’s news release reporting the first quarter financial results as well as at Tucows website. Before we begin today, let me remind you that the matters that company will be discussing include forward-looking statements, and as such, are subject to risks and uncertainties that could cause actual results to differ materially. These risk factors are described in detail in the company’s documents filed with the SEC, specifically the most recent reports on Form 10-K and 10-Q. The company urges you to read its Securities filings for a full description of the risk factors applicable for its businesses. I would now like to turn the call over to Tucows President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead, sir.
Elliot Noss: Thank you, operator. Good afternoon, and thanks for joining us today. With me is Michael Cooperman, Tucows Chief Financial Officer. This afternoon’s call will follow our usual format.I will begin with a brief overview of our financial results and operational highlights for the quarter. Mike will then review our financial results in detailand I will return for some concluding comments before opening the call up to questions. Our second quarter results continue to demonstrate the consistency and reliability that have become the hallmarks of our business.Revenuegrows just over 4% year-over-year to $20.8 million. Again this quarter, this growth was achieved in the face of lower contribution from both our email service and direct navigation name sales that we’ve discussed on previous calls. Adjusted cash EBITDA for the quarter was $1.7 million and we once again generated positive cash flow from operations, which totaled $1.2 million for the quarter and which I will note was dampened by the use of approximately $800,000 for working capital requirements. Then Mike will discuss this in a more detail in a few minutes. I would like now to briefly review some of the operating highlights for the second quarter beginning with OpenSRS. The OpenSRS domain service continued to exhibit steady year-over-year growth in transactionvolumes in the second quarter. Total transactions grew by 11% compared to the second quarter of last year, with new registrations growing 9% and renewals growing 12%. I will note that our renewal rate saw another bump up in the second quarter, again performing above industry average. As a result of continued growth in domain transactions, domains under management at the end of the second quarter grew to well over 10.1 million. All of this contributed to year-over-year growth in domain service revenue of 7%. Our competitive position remains strong and we had several significant customer wins during the quarter. Our competitive position continues to improve both in terms of new customer starting to do business with us and existing customers who use multiple suppliers bring the higher proportion of their business to us. We are winning business in both respect because we excel at building customer relationships, along with service innovation, like domain look ups. Still with the domain service, subsequent to the end of the quarter, we saw the successful launch of the new .CO TLD or top-level domain. .CO, the country code top-level domain for Columbia, is now being positioned as the abbreviation for company and an alternative to .com. To-date the .CO launch has been our most successful new TLD launch since .EU in 2007. And since launch has been one of our top selling TLDs. In fact, since its launch .CO has been a number two top level domain for new registrations, topped only by .com. Turning to Hover, our retail service, we talked last quarter about having redesigned the front page, and that we are ready to reinvigorate the market. In Q2, these efforts started bear fruit and we were able to grow new domain registrations by 31% quarter-over-quarter and so far in Q3, we are holding at these new levels. We are also starting to see strong indications that our competitive positioning is exceeding, transfers in nearly tripled quarter-over-quarter. We think this is a function of some of these efforts exposing us more broadly in the market. Feedback is that Hover represents a fresh change from some of our competitorservices. We’re excited that our competitive position at retail has been validated by these results. We’ve always said that one of the roles of Hover inside of Tucows is for it to be a laboratory within which we could learn best practices and bring them back to our wholesale customers. We think we have started that learning. We think we’ve learned a little bit around marketing, we think we’ve learned some interesting lessons around customer experience and usability and we have discovered some valuable customer service practices. This quarter, we have started to institutionalize transferring this knowledge from retail to wholesale. Thereby taking something that is impacted a couple of hundred thousand customers and leveraging that impact across so many millions of customers touched by OpenSRS resellers. YummyNames, our domain portfolio group, continued to post solid results for Q2, with individual name sales again leading the way as this revenue stream continues to deemphasize bulk sales of direct navigation names. Revenue for YummyNames increased 12% year-over-year and I will note, the second quarter of last year included a large bulk sale of direct navigation names. Growth in both auction sales as well as those generated by our distribution agreements with NameMedia and Sedo drove continued momentum in brandable name sales. In addition, we saw an increase in average selling price in the second quarter. Each passing quarter is further confirmation of our strategy to target marketers and small businesses who recognize the value of quality domain names. At butterscotch, our content services group, revenue in Q2 was up 14% year-over-year and key performance metrics trended favorably, as we continued to migratetraffic from tucows.com to butterscotch.com and to integrate the two sites. Most notably, butterscotch.com page views increase 27% and site visits increased 24% compared to the first quarter of the year, aided by the launch in April of a new Mobile App library containing more than 120,000 titles. While video plays overall on the site were relatively unchanged from Q1, video plays on YouTube were up 35%. We are now seeing over 60% of our video plays taking place off of the butterscotch.com website. We also continue to expand our content during the second quarter with the number of videos increasing to more than 3,000 at end of the quarter up from 2,500 at the end of Q1. In summary, our second quarter results once again demonstrates the consistently and reliability that underlie our business. The domain service continues to steadily grow. Our retail business had a very solid quarter and as gathering momentum. YummyNames is demonstrating continued strength as we focus on individual name sales and favorable trends in the underlying key metrics for butterscotch have excited there as well. I’d now like to turn the call over to Mike to walkthrough our financial results in detail. Mike?
Michael Cooperman: Thanks, Elliott. Net revenues for the second quarter of fiscal 2010 increased 4.1% to $20.8 million from $20 million for the first quarter of last year. I will breakdown the impact of each of our serviceofferings on overall revenue when I discuss the gross margin contribution in a moment. Cost of revenues, before network costs, for the quarter increased by $1 million or 7.6% to $14.2 million from $13.2 million for the same quarter of last year. In discussing our operating results, I would like to remind you that a significant portion of our operation costs are in Canadian dollars. Our results therefore should be viewed within the context of the negative impact of the strengthening Canadian dollar relative to the U.S. dollar has had when they were compared to last year. To give you some sense of this impact, in the second quarter of this year the Canadian dollar was approximately 12% higher relative to the U.S. dollar than in the second quarter of last year. Despite this currency impact, network cost have decreased by 209,000 or 11.9% to $1.5 million from $1.8 million for the second quarter last year as the impact of the higher Canadian dollar was offset by the efficiencies we have gained in operating and managing our co-location facilities and the fact that certain of our older computer hardware which is now being fully depreciated has not required replacing. Gross margin for the second quarter of this year increased slightly to $5.1 million from $5 million for the same quarter last year. On a percentage basis, gross margin was 24% down marginally from 25% for the same quarter of last year. Gross margin seem to have settled in this range following our shift in sales mix from higher margin services to lower margin domain name services that we have discussed on prior calls. Gross margin from our OpenSRS service, which includes domain services, email services and other wholesale services, was $3.8 million or 22% of net sales compared with $4.2 million or 25% of net sales for the second quarter of 2009. This decrease is primarily attributable to the expected loss of the three media portal email cum customers that we have previously discussed and to a lesser extent on our success in growing revenue from higher volume, lower priced customers as we compete aggressively to win new business and retain existing resellers. Gross margin from domain services declined slightly to $2.7 million from $2.8 million for the second quarter of last year. In comparing these numbers, it should be noted that during the second quarter of last year, domain name costs were roughly 200,000 lower than normal as a result of certain supplier programs undertaken during the second quarter last year. In addition, our higher volume, lower price strategy has had a dampening impact on gross margin compared to the second quarter of last year although to a somewhat lesser extent. In the third quarter, our gross margin percentage will be further impacted by an additional 7% price increase that the VeriSign registry implemented on July 1. On a percentage basis, gross margin from domain services fell to 16.9% from 19%. Gross margin for email services decreased 36% to $463,000 from $721,000 for the second quarter of last year. The decrease is primarily the result of the loss in revenue from three media portal customers we have discussed previously. As Elliot discussed, we are now focused on replacing this gross margin with new email business and we are seeing some positive progress in this regard. As a percentage of revenue, gross margin for email services declined marginally to 80% from 83% for the corresponding quarter of last year, largely the result of the impact of the media portal customers’ revenue has had on our largely fixed email costs. Gross margin for YummyNames increased by 14.4% to $1.4 million from $1.2 million for the same quarter of last year. YummyNames gross margin performance continues to be defined by our continued success in selling both brandable names and our regular bi-monthly sales of names. This increase was partially offset by the impact of sale of domain names has on the names we have available for part pages revenue. Gross margin percentage for YummyNames increased slightly to 85% from 83% for the second quarter of last year. Gross margin for Hover decreased slightly to 761,000 from 783,000 for the second quarter of 2009. In assessing this result, please remember that during fiscal 2009, we undertook significant development efforts to provide our retail customers with a more streamlined platform to register and manage domain names and email addresses. During this initiative, we deemphasized new customer acquisitions and concentrated on stabilizing renewal rates and trans positioning existing customers to the other platform. These initiatives resulted in the decrease in the deferred revenue balance during fiscal 2009 as the cash suite added to deferred revenue were lower than the revenue being recognized from prior periods. With this initiativebehind us, we are concentrating on launching longer term programs to drive new customer acquisitions. Our early success with these initiatives has resulted in increase sales volumes, higher cash suites and are returned to growth in deferred revenue during the first half of this year. Gross margin for Hover increased to 69% from 62% from the second quarter of last year. The increase is mainly the result of the sales mix resulting from the introduction of newer higher margin offerings. Gross margin for butterscotch increased 10% to $664,000 from $603,000 for the same quarter of 2009. This performance was achieved in an environment where advertisers continued to show a preference for more content rich traffic on websites like butterscotch.com. We have been able to capitalize in this trend by increasing advertisers spend on butterscotch.com as well as for undertaking corporate video initiatives. These increases have been partially offset by the meeting effect this changing advertiser preference has had a demand for advertising on our tucows.com website and our ortho resource center. At the same time, we continue to experience dramatic decline in AdSenserevenue as a result of Google’s elimination of the enterprise AdSenseprogram. As a percentage of net revenue, grossmargin decreased slightly to 96% from 99.8% in the second quarter of last year. Total operating expenses for the second quarter of 2010 increased by $3.3 million or 125% to $5.9 million or 28% of net revenue from $2.6 million or 13% of net revenue for the corresponding quarter of last year. As we highlighted on past calls, the change in the fair value of foreign exchange contracts remains the principle course of this variance in our operating expense from period to period. During the second quarter, the impact of the fair value adjustment on unrealized foreign exchange from our contracts was a net loss of $1.9 million as compared to a net gain of $1.9 million for the same quarter last year, a differential of $3.8 million between the two periods. Looking at our operating expenses in terms of core and other operating expenses, core operating expenses which we define as those expenses relating to ongoing sales, marketing, development and administrative costs, increased 14.1% to $4.2 million from $3.5 million for the second quarter of last year. Roughly half of this increase resulted from the negative impact of they approximately 12% strengthening on average Canadian dollar relative to the U.S. dollar compared to the second quarter last year has had on our operating expenses. In addition, the increase is attributable to higher work force costs that resulted from the additional people we have employed in both our marketing and customer service areas to increase our focus on sales and marketing initiatives. As a percentage of revenue, core operating expenses increased to 20.4% from 17.6%. Other operating expenses for the quarter were $1.7 million compared with other operating income of $1.1 million for the second quarter of last year. The $2.8 million swing is primarily the result of the changing fair value of our foreign exchange contracts that I mentioned a moment ago, and in the second quarter of this year, we recognized a loss on foreign exchange of $1.2 million inclusive of the mark-to-market loss of $1.9 million compared with a gain on foreign exchange of 1.6 million inclusive of the mark –to-market gain of $1.9 million for the second quarter of this – of last year. I will also note that the impact of the maturation of some of our foreign exchange contracts during the quarter reduced the net value of our non-cash derivative instruments on our balance sheet to 394,000 at end of the second quarter from 3.2 million at the end of the first quarter. Net loss for the second quarter of 2010 was $772,000 or $0.01 per sharecompared with net income of $4.4 millionor $0.06 per sharefor the second quarter of 2009. In assessing these results, I would like to remind you that that second quarter last year included a gain on the fair value of our forward exchange contracts on 1.9 million compared to a loss on the fair value for this year of 1.9 million. In addition, net income included – last year included 2.6 million to 2 million related to the sale of our equity stake and affiliates and another 600,000 from the patents that we have signed in 2002 to a third-party who continues to commercialize them. Excluding the impact of the change in fair value on our forward exchange contract and the impact from the non-recurring other income from the second quarter last year, year-over-year profitability increased. With regard to taxation, we recorded a provision for 2010 taxes of 316,000 in March. When we reassessed our tax provision in June, we assessed that only $306,000 was required in addition, as we have now filed our 2009 ITT claim we recorded a recovery of 95,000 initial guards. Turning to the balance sheet and cash flow. Cash and cash equivalents at the end of the second quarter of this year, decreased 4.1 million from 7.4 million at the end of the second quarter of last year and from 5.2 million at the end of first quarter of this year. The main reason for the decrease in cash of 1.1 million at the end of the first quarter is the result of using an additional 1.7 million to repurchase 2.5 million shares under the open market buyback program we launched in February. In addition, we also made capital payments of 479,000 on our credit facility with the Bank of Montreal reducing it to under 2.3 million at the end of the quarter. I will note that on our last quarter’s conference call, we had expected that this facility would be fully repaid by the end of the second quarter as a result of the annual cash we’ve contemplated in the terms of the facility. Since that time ever, we have begun negotiating with the bank to put a new facility in place. As part of our discussions, they have referred the cash repayment pending the outcome of these negotiations. These uses of cash were partially offset by our generating 1.2 million in cash from operating activities during the quarter. Cash flow from operating activities before changes in non-cash operating working capital for the second quarter was $2 million compared to $1.6 million in the same quarter last year. This generation of cash was partially offset by our using $800,000 in non-cash operating working capital during the quarter compared to our generating 1 million in non-cash working capital during the same quarter last year. The use of the additional 1.8 million of cash to fund other working capital compared to second quarter of last year, primarily arose from the following: accounts payable and accrued liabilities decreased by $700,000, a combination of the lowest spend on fixed assets that we are currently experiencing, the clearing of certain longer-term payables and agreeing to tie the payment terms with some of our suppliers. Income tax receivable decreased by $800,000 primarily due to the higher accrual we had for 2009 and a reversal of a portion of the tax prepayment from 2009 to offset our estimated provisional tax liability to 2010 and customer deposits decreased by $600,000 as a result of certain customers having placed money on deposits to fund expected purchases that when May ran the deposits they were down to more typical levels. These uses of working capital were partially offset by our reducing our registry supplier deposits by $300,000. Deferred revenue at the end of the second quarter of this year was $60 million, an increase of $5.5 million from $56.9 million at the end of the second quarter of last year and up marginally from $59.5 million at the end of the first quarter of this year. To conclude, our financial results from the second quarter continue to demonstrate the consistency in our business. We continued to see momentum in our domain services in YummyNames, domain portfolio revenue as well as positive underlying trends in the reposition of butterscotch of our businesses. Both of which are well positioned for future growth. At the same time, improvement in our cost structure are having a positive impact in profitability in a face of a strong Canadian dollar and we continue to generate sufficient cash flow from operating activities to allow us to continue to execute on our commitment to return value to our shareholders through stock repurchases. I would now like to turn the call back to Elliot.
Elliot Noss: Thanks, Mike. The consistency and reliability in our business in our business has enabled us to continue to deliver on our stated intention to return capital to shareholders. During the second quarter, as Mike noted, we repurchased an additional 2.5 million shares under our open market buyback program bringing the total number of shares repurchased this year including those repurchased under our best tender offer at the beginning of the year to 9.8 million shares, were more than 14% of our outstanding shares at the end of last year. All told, since we commenced our first Dutch auction tender at the beginning of 2009, we’ve taken up almost 16 million shares or more than 21% of our outstanding shares at the end of 2008. We remain committed to returning capital to shareholders and we feel the specific tactic of Dutch auctions has been very successful for us. We believe that our current valuation, our shares continue to represent excellent value. We also believe that returning capital to shareholders is the most appropriate use of our capital. It is preferable to M&A as a core strategy, which empirically is rarely efficient. It is also preferable to holding large cash balances as our growth opportunities are simply not capital intensive. We also believe that operating efficiency as I talked about it late last quarter, is simply good business practice and something that is even more important in the future as all businesses and markets become even more competitive. We had some investors and potential investors ask us how these things returning capital and focusing on operating efficiency relate to growth. More pointedly, we’ve had some people suggest that returning capital to shareholders and focusing on operating efficiency could be seen as the company not having growth opportunities. This is not the case. There are two kinds of growth, incremental and transformational. Incremental growth is that like we see now with Hover or that we see from things like the recent successful .CO launch. It is improvements in the existing business that make it growing healthy and profitable. Transformational growth is more like the launch of OpenSRS, which ten years ago, took two calls from an ad-supported model to its current large subscription services business. Or of a lesser extent, the launch of our portfolio business that is now YummyNames. We are always doing things to introduce that increase incremental growth. We also live in markets that are hypercompetitive. We need that incremental growth to move forward and sometimes just to stay in place. The transformational growth cannot be planned for in the same way. It is about trying things on an educated basis and being able to fail while learning while not consuming great amounts of capital. We have built one of the best and perhaps the best distribution network on the internet. That network is central to us being able to explore and test transformational growth opportunities inexpensively. And then, it allows us to potentially achieve that transformational growth in excessively. We believe in returning capital to shareholders and CO is playing a greater role in the future of all public companies. We believe at operating efficiency and think that smaller more focused and efficient companies will be most successful in the future. We also believe and always looking for growth opportunities both incremental and transformational. We deeply believe these three things are complementary, not contradictory. With that, I would like to open the call to questions. Operator?
Operator: (Operator instructions) Your first question comes from the line of Thanos Moschopoulos, BMO Capital Markets. Your line is open.
Thanos Moschopoulos – BMO Capital Markets: Hi, good afternoon.
Elliot Noss: Hi, Thanos.
Thanos Moschopoulos – BMO Capital Markets: Hi, Elliot. You talked earlier about how you feel good about the competitive position of our OpenSRS business, you had 11% transaction growth there. I know it’s kind of hard to get some of the industry stats on that, but – how – whatyou’re sense is to how that 11% transaction growth compares to the broader industry?
Elliot Noss: You know, I think that we’re doing relative to most of our competitors we’re doing extremely well are well. I think that for better or worse it is still in many respects to Go Daddy world and we’re all just living in it. So Go Daddy, I think uniquely has kind of had an outsized performance and that’s certainly something that we want to watch and study as much as possible. Now Go Daddy’s wholesale business when we’re going up like directly kind of for webhosting customers, we don’t see them very much. They do have a smaller wholesale business but where Go Daddy success does impact us is in smaller sight designers’ things like that. So we feel very, very good about our competitive position and in order to kind of take that further, we think we’ve got to reach better and more effectively into some of those smaller, kind of design and consultancy type customers.
Thanos Moschopoulos – BMO Capital Markets: Okay. That’s fair. I kind of earlier today proved Chinese character domain names, is that something that you can benefit from or would is that going to be tricky just as a function of not having a presence in the geographies that that you’re put into?
Elliot Noss: Well, we really we do have partners in over 120 countries now if I’m not mistaken and I think that when you’re talking about those Chinese characters, we think that there is some opportunity in, they’re called IDNs, Internationalized Domain Names, in some of the other IDN markets, potentially little more China. China in particular, tends to be a market that it is characterized by two things, one it’s primarily served by Chinese companies and two, there is a lot of regulatory questions in the Chinese market. Don’t know if you’ve followed but with the Chinese top level domain .CN there was a radical pronouncement made recently that fundamentally changed that market and drove most of the international registrars out of it. So China in particular, is kind of a tough go. I will tell you that with IDNs, Internationalized Domain Names, in particular and with global growth in general, we’re very excited with both some of the progress and some of the plans we have in developing markets around the world.
Thanos Moschopoulos – BMO Capital Markets: Okay. As far as the direct navigation business, you alluded to the fact that’s still under pressure. How much further before that hits bottom or is such a – is it small most of part of the business now that’s not really overly material at this point.
Elliot Noss: Yeah. It – it – it’s says it’s not killing us. We’ve never been a company that focuses on direct navigation. When you’re looking at that market more broadly, I think us, like the rest of the industry are just hoping from big things from the Bing, from the Microsoft, Yahoo! Mergers for Bing so that there is real competition there. I think that as some of the bigger dominos start to fall, the AOL businesses are for bid right now is an example. There are one or two more big pieces like that. The next large market share swings very likely will be in direct navigation space with domain names and so we’re hoping that that starts to heat up from a competitive standpoint as well.
Thanos Moschopoulos – BMO Capital Markets: Okay. And then finally, as far as the butterscotch business, what do you see sort of being the key in terms of accelerating the revenue growth there. Is it just going to be progressive growth as you keep monetizing from that traffic that you’re getting or is it just some way to sort of accelerate that?
Elliot Noss: Well, I think that there are two things that are true. Broadly, any where you read, everybody is excited about video on the internet. The second thing that’s also true, broadly everywhere you read, nobody is really thinking out how to monetize it yet. So we’re coming out with butterscotch. We think that we wanted just keep growing that business, sticking out our place in the world, I think we’ve done really well in establishing ourselves as a player in producing real high-technology video, not user generated stuff but level up from that. Where we think some of the earlier positives might come from is some of the places where we are looking to drive synergies. So we think two, one that I’ve mentioned before is what we loosely call corporate video or be a purpose built videos for companies usually in technology that might be in a show format. It might be in promotional video format. But there is a big cost advantage when butterscotch is producing something relative to the traditional competitors of TV production houses. It is a huge cost and therefore price advantage and we’re seeing the benefits of that because the quality is virtually not differentiable. The second play is we’re looking for places where we can bring that video potential to the rest of our business, Hover and OpenSRS. We deeply believe that one of the best uses of video on the internet is helping people use things, in helping people use things that they don’t know how to use well enough. So we’ve had some real success using some of the production capabilities of butterscotch, we recently did a transfer series for OpenSRS that was really excellent in its quality and we just launched this. So we’re just starting to see the impact. But also looking for places where we can put video production together for some of our wholesale OpenSRS customers or hosting companies in for ISP who have huge customer bases that can use, certainly much more help in getting the most of internet services. That’s some stuff that we think really could hold some potential.
Thanos Moschopoulos – BMO Capital Markets: Okay. That’s great. I’ll pass the line. Thank you.
Elliot Noss: Thanks, Thanos.
Operator: The next question comes from the line of Alex Grassino, Laurentian Bank Securities. Your line is open.
Alex Grassino – Laurentian Bank Securities: Good afternoon, guys.
Elliot Noss: Hi, Alex.
Alex Grassino – Laurentian Bank Securities: Hi. Just on the messaging side of the business, curious to see how you see things on folding from there, I’m guessing at about 600 K a quarter you with senses you just stabilize at this point and any growth coming from that will probably be as you say incremental? Anything else you can add to that in terms of qualifications or is that essentially what the bottom line is?
Elliot Noss: No. I think it’s the right assessment. We’re always looking at the pipeline with happy eyes.
Alex Grassino – Laurentian Bank Securities: Okay.
Elliot Noss: I think that there is a lot in there that we’re excited about it. One of the reasons you didn’t hear me comments about it, you heard Mike comments about it, is because the – I feel like I’ve said that ones or twice recently. And I really like to next talk about a couple of nice movements coming out the other side.
Alex Grassino – Laurentian Bank Securities: Sure. Sure.
Elliot Noss: And you know that’s really, I much more liked to do than say and so that’s really why you didn’t hear me comment on that at this quarter.
Alex Grassino – Laurentian Bank Securities: Sure. And in terms of the .CO, just curious to see if you could perhaps breakout what kind of contribution in terms of new business they’ve added to the registration side of the business?
Elliot Noss: It’s all Q3. So you won’t see in the Q2 numbers yet.
Alex Grassino – Laurentian Bank Securities: Okay. Okay. So…
Elliot Noss: It’s virtually all Q3. There might have been some of the early landless sunrise stuff in Q2…
Alex Grassino – Laurentian Bank Securities: Okay.
Elliot Noss: And no, Mike shaking his head no. So I think its all set – it all settles in the Q3.
Alex Grassino – Laurentian Bank Securities: Okay. Perfect. And I guess the next question I have is just some of the TLD because there has been a lot of debate recently about the .XXX domain names. Do you have any thoughts on that as well?
Elliot Noss: Yes. I guess I have one loment which is sadly I fear that this might have some negative impact on the speed in which we’ll see the new TLD rail, the top-level domain run. There is going to be this broad liberalization. I think we’re all hoping that at the Cartagena ICANN Meeting in December that there is a significant step forward with new top-level domains. There is and it was just last week, a whole new issue introduced by governments bringing to ICANN, I shouldn’t say completely new but certainly very late in a day issue around what they’re calling morality and public order and nothing in ICANN would be complete without an IC – acronym so this is MAPO, morality and public order. And now there is an issue rising at about and it’s really to a large extent driven by XXX. There is an old aphorism, an old saying Bad Facts Make Bad Law and while I have no – I was going to say no (inaudible) seen him again but that would have been about ton around XXX. I – well I have no direct thoughts and I’m very – I’ve no direct thoughts around XXX and its potential revenue capability. I do – it’s a tough case and a lot more complicated than a lot of other things it might happen with top-level domains, so I just hope that this doesn’t slow things down.
Alex Grassino – Laurentian Bank Securities: Perfect. Thank you.
Elliot Noss: Thanks Alex.
Operator: There are no further questions at this time, Mr. Noss. I'll turn the call back over to you.
Elliot Noss: Thanks very much and we look forward to speaking with you all again next quarter. Thank you, operator.